Operator: Good morning. And welcome to Aveanna Healthcare Holdings Third Quarter 2021 Earnings Conference Call. Today’s call is being recorded and we have allocated one hour for prepared remarks and Q&A. At this time, I’d like to turn the conference over to Shannon Drake, Aveanna’s Chief Legal Officer and Corporate Secretary. Thank you. You may begin.
Shannon Drake: Thank you, Operator. Good morning, everyone. And thank you for joining Aveanna Healthcare’s third quarter 2021 earnings call. Speaking on today’s call are Rod Windley, Aveanna’s Executive Chairman; Tony Strange, Aveanna’s Chief Executive Officer and President; David Afshar, Aveanna’s Chief Financial Officer; and Jeff Shaner, Aveanna’s Chief Operating Officer. We issued our third quarter earnings press release and supplemental presentation, as well as filed our related Form 8-K and Form 10-Q yesterday with the SEC. These documents are available on the Investor Relations section of our website at www.aveanna.com. We encourage you to read them. Also, a replay of this call will be available on our website until November 23, 2021. We want to remind anyone who may be listening to a replay of this call that all statements made are as of today, November 16, 2021, and these statements have not been or nor will they be updated subsequent to today’s call. Also today’s call may contain forward-looking statements, which may be identified by words such as may, could, will, expect, intend, plan, and other similar words and expressions. All forward-looking statements made today are may -- are based on management’s current expectations, assumptions and beliefs about our business and the environment in which we operate. These statements are subject to risks and uncertainties that could cause our actual results to materially differ from those expressed or implied on today’s call. Listeners should not place undue reliance on forward-looking statements and are encouraged to review our SEC filings for a more complete discussion of factors that could impact our results, including those risks disclosed under the Risk Factor headings of our filings. Except as required by federal securities laws, Aveanna does not undertake to publicly update or revise any forward-looking statements subsequent to the date made as a result of new information, future events, changing circumstances or for any other reason. In addition to our financial results reported in accordance with GAAP, we supplement our GAAP results with certain non-GAAP financial measures. When viewed together with our GAAP results, we believe that these measures can provide a more complete understanding of our business and operating results, but they should not be relied upon to the exclusion of our financial results reported in accordance with GAAP. In addition, a reconciliation of any non-GAAP measure mentioned during our call to the most comparable GAAP measure is available in our earnings call -- in our earnings press release and 10-Q, both of which are available on our website and on the SEC’s website at www.sec.gov. Following today’s prepared remarks, we will close -- we will open the call to questions. Please limit your initial comments to one question and one follow-up, so that we can accommodate as many callers as possible in the allotted time. With that, I will turn the call over to Aveanna’s Chief Executive Officer and President, Tony Strange. Tony?
Tony Strange: Thanks, Shannon, and good morning, everyone. Thank you for joining Aveanna’s third quarter earnings call. As you can see from our press release last night, we have a lot of information to cover on today’s call. As a result our prepared remarks may run a little bit long, but we will extend our call to accommodate everyone’s questions. The goal of the call today is to provide updates on the company’s third quarter results, as well as some insights on our current reimbursement and COVID-19 environments. In addition, we would like to bring you up to speed on our most recent M&A transactions, the deployment of capital to fund our M&A growth, as well as provide some insight into our full year 2021 guidance and beyond. To assist us in discussing all of the above, we will be referencing a supplemental investor deck that was published last night along with the press release and the 10-Q. Before jumping into all the details, I’d like to first take a moment to thank all of our caregivers and administrative employees for what you are doing each and every day. Today’s environment can make even the smallest task more complex. You make it your mission to bring to patients and families of the most frail and vulnerable population in America. So, on behalf of the executive team, our Board of Directors and all of our shareholders, thank you for what you do. I like to spend a moment talking about the overall industry trends and the impact on our current results, and perhaps, more importantly, how they affect our long-term outlook for Aveanna. The demand for home-based services is at an all-time high. Both our Private Duty Services and our Home Health & Hospice segments continue to experience demand that exceeds our supply and we are not alone. Across our industry, we see patient discharges from higher acuity settings being delayed due to labor constraints and providers inability to hire qualified caregivers at a rate that meets that demand. For these reasons, we believe that we are experiencing a shift in how home care is viewed. For the first time in many years and possibly ever, state and federal policymakers, legislators and private payers are all recognizing the valuable role that home care can play in effecting clinical outcomes, while reducing overall healthcare costs. During our second quarter call, we reported that 16 of our 31 states had either increase reimbursement and or expanded the benefits for home-based care. As of today, that number has grown to 24 of the 31 states that we operate in. That indicates that over 75% of the states where we operate made the decision to invest more dollars into providing more services in the home. Many of our managed care partners are following suit. We continue to have success in obtaining rate increases that target our ability to increase our capacity. And as you saw last week, the final rule for Home Health was published by CMS and it too was better than originally expected. All of these indicators point to an increasing belief that home-based care can and will play a meaningful and growing role in the healthcare industry in America. In the meantime we are living in an environment that has been disrupted by pandemic. COVID-19 vaccinations and vaccination mandates have all played a role in disrupting business as we know it. The world in general and healthcare specifically is being affected by what we refer to as a COVID-19 hangover. Magnify that, with the political and social issues surrounding vaccinations, which are further complicated by a wide variety of mandates and you will find yourself in a world where 3 million Americans have left the workforce. Hiring enough nurses and caregivers has always been hard, but it has become increasingly more difficult in this environment. So what are we doing? We along with every other healthcare provider are engaged in hand-to-hand combat over every single nurse and caregiver. We have implemented a return to work program that incentivizes nurses and caregivers to come back to work and to work more hours. We have created tools to make it easier for nurses and caregivers to apply, orient and train. We have implemented programs to incentivize nurses and caregivers to get vaccinated and we have rewarded nurses and caregivers who have demonstrated their loyalty to Aveanna. Jeff will provide some additional details during his prepared remarks. And even with all these efforts there is still not enough supply to meet the demand. We view this disruption as near-term in nature. Eventually vaccination rates will reach an equilibrium and then and only then the threat of COVID-19 will subside. The labor markets in the U.S. will reach a new normal and when they do there will be an increasing demand and appreciation for our home-based care. We are extremely proud of our results this quarter despite these headwinds, we grew our revenues 12.4% over the previous year and even more impressive we have expanded our gross margins by 280 basis points to 34%. Some of this margin expansion is attributable to the business mix shift toward Home Health, but we also had margin expansion in Private Duty Services. Team has done an outstanding job in managing labor expenses during this difficult environment, which is afforded us the flexibility to reinvest some of these dollars back into nurse and caregiver wages that should serve to accelerate growth. The increase in revenue related to pricing accompanied by a disciplined expense management, gives us the confidence that we will be able to meet our expectations related to profitability on lower than expected volumes. We will provide a detailed review of our results in a moment. But first we would like to touch on our -- the M&A activity that we announced last night. As you are aware on October the 1st we filed an 8-K with the SEC announcing that we had entered into an agreement to acquire Comfort Care. As of this call we have received the necessary approvals from the SEC to proceed and it is our intent to provide you with all of the details surrounding not only Comfort Care, but our latest agreement to acquire Accredited as well. As you will recall our M&A strategy was to acquire between $150 million and $200 million of new revenues per year that produced adjusted EBITDA is between $15 million and $25 million a year. Our goal was to acquire both Private Duty and traditional Home Health assets and work diligently to integrate the acquired businesses in the Aveanna capturing the synergies on -- in a timely manner. With the acquisition of Doctor’s Choice in April and the two acquisitions that we announced last evening is expected to close in Q4. Our acquired revenues in 2021 will be approximately $290 million far exceeding our goal. Originally we contemplated using a combination of debt and equity to fund the M&A growth, while maintaining net leverage around 4.5 times to 5 times. However, given the depressed values in home care stocks we have decided to fund both of these transactions with debt, which will raise our net leverage profile to approximately 6 times. We will work to bring leverage down over time with continued growth, future M&A and the strategic use of our balance sheet. In the meantime, we are very proud of our continued growth without dilution to our existing shareholders at these depressed valuations. So with that as a lead in, I will turn the call over to Rod for a deeper dive into the two transactions, as well as some insights into our pipeline and for future M&A. Rod?
Rod Windley: Thanks, Tony. It’s obviously been a very, very busy six months. Just to reiterate, we completed six transactions in the second half of 2020, all of which have now been fully integrated into Aveanna. Next we completed Doctor’s Choice in April and that integration has gone extremely well and is also nearing completion. Over the summer two additional transactions made it through our gauntlet and as a result we have entered into definitive agreements to acquire Comfort Care, a Medicare Certified Home Health & Hospice Company in Alabama and Tennessee, and Accredited Home Care, a private duty based company in Southern California. Let’s take a closer look at each beginning with Comfort Care. Comfort Care provides both Home Health & Hospice services to the traditional Medicare patient population and produces approximately $100 million in revenue on a current run rate basis. Comfort Care provides these services through 31 locations, primarily throughout the entire state of Alabama, with a few locations in Tennessee. Traditional home care makes up approximately 40% -- 47% of its revenue and Hospice represents another 53%. Our diligence indicated that Comfort Care is a well-run company with a solid track record related to compliance and a stellar reputation in its markets making it an extremely good fit for Aveanna. While the purchase price of Comfort Care is $345 million, we also received a significant tax benefit with the present day value of approximately $55 million, thus reducing the net purchase price to approximately $290 million. This would imply a fully synergized EBITDA multiple of between 11 times and 12 times. We anticipate clearing licensure and closing sometime during the first week of December. Now, let’s move on to our second transaction Accredited Home Care. Accredited is a private duty company based in Southern California and is considered one of the leading providers of unskilled care in that state. Accredited provides unskilled services in the home through designated attendance and unlike our skilled business attendants are recruited and retained by the family, which eliminates recruiting in today’s very difficult labor environment. The business has been around for more than 40 years and has a fantastic reputation of being a quality and reliable provider of care. The company is generating approximately $110 million in revenue per year on a current run rate basis. 86% of its revenues are derived through Medicaid or other state-funded programs, which is consistent with our own unskilled business in the State of California. The base purchase price of Accredited is $180 million, which could be adjusted upward to $225 million based on Accredited’s volumes through the closed state. We believe that once the purchase price is settled, the implied multiple on a fully energized EBIDTA basis will be between 8 times and 9 times. Given the role that unskilled can play in reducing overall healthcare expenditures, we believe that the density that Accredited brings to Aveanna in California can be a strategic advantage for us as we move forward. We have cleared all the necessary hurdles on Accredited and anticipate closing by the end of the month. While both businesses are different and one is in Alabama and the other one is in California, they are both being integrated at the same time by separate IMO teams. Both acquisitions will be fully integrated in 2022 with a majority of the integration process occurring in the first 180 days. Each of the transactions were highly competitive environments and we are fortunate to have them under contract. The deal flow has not slowed down in either segment. The strategic community along with private equity continues to make every transaction highly competitive. As you can tell we are very excited about both these transactions. As Tony mentioned earlier, these two transactions bring our acquired revenue for 2021 to approximately $290 million, compared to our target of $150 million to $200 million on an annualized basis. We believe that both transactions solidify our position as a leader in the M&A growth in the home care space. On any given day we are tracking in excess of $500 million in potential transactions in our M&A pipeline. We look at a lot of transactions, but only pursue those that fit our business mix, geography and financial profile. Very few pass our stringent diligence process. While we pass on more transactions than we complete, we are confident that we will continue to meet our anticipated acquisition targets for the foreseeable future. With that, let me turn the call over to Dave to tell you about our financing plans and how we intend to pay for these transactions.
David Afshar: Thanks, Rod. We are pleased to be in such a strong balance sheet and liquidity position right now that’s supportive of the acquisition strategy that Rod just laid out. On slide 10 of the deck that we filed on Exhibit 99.2 yesterday, you will see that we plan to fund Comfort Care and Accredited with a combination of cash on the balance sheet and new debt. We will use approximately $60 million of cash from the balance sheet, $120 million of borrowings under our new securitization facility that we closed on November 12th and approximately $400 million of proceeds from a new Second Lien Term Loan that we plan to launch later in November. And after we fund these two transactions, we still have good liquidity for 2022 M&A, with our available $200 million delayed draw term loan and $180 million of availability on our revolver. We also had approximately $35 million in pro forma cash on the balance sheet at the end of Q3. I will provide just a little more information on the new debt that we plan to use to fund our Q4 M&A. Our new securitization facility is underwritten by PNC Bank and is secured by our receivables. It’s $150 million facility and we plan to draw $120 million to fund our Q4 M&A. The securitization facility comes with attractive interest rates and has an efficient piece of new capital for the company that we can scale up as we grow. Regarding the new Second Lien Term Loan, it will be an eight-year $415 million loan in total, $200 million of which is fully committed and underwritten by Barclays, and the other $215 million will be raised through best efforts. As you will see on slide 11, pro forma for Q4 M&A and incremental debt raises, our total leverage will be in the 6 term range. We think usage of this incremental leverage, especially in light of the continuing attractiveness of the credit markets, instead of issuing new equity to fund our M&A is in the best interest of shareholders at this time. And with that, Tony would you like to add anything on the M&A financing front?
Tony Strange: No. Dave, I think, you did a really nice job laying that out. While our leverage is a little higher than we originally contemplated, we believe this is a better use of our balance sheet for the time being. We have managed this level of leverage many times before and are quite comfortable from a cash flow perspective. As I mentioned before, we anticipate reducing leverage over time through continued growth, future M&A and strategic use of our balance sheet. In short, we believe that our capital structure and our existing pipeline give us a runway to continue our acquisition growth for 2022 and beyond. So let’s turn our attention toward a deeper dive into our Q3 results. As I mentioned earlier, we are very pleased with our results despite the lower than anticipated volumes. The third quarter is historically the low point of the year for our business due to schools being out and summer and family -- summer family and caregiver vacations. This coupled with a disruption in the labor market caused volumes in Private Duty Services and Home Health & Hospice to be lower than expectations. The softness in volumes was partially offset by continued rate improvements specific to Private Duty Services. Our overall net revenues were $411 million, up 12.4% from Q3 of 2020. We continued to see gross margin expansion to 34% of net revenue, up 280 basis points over Q3 of 2020 and up 40 basis points from Q2 of 2021. The gross margin improvement is primarily driven by three factors. Continued mix shift toward our Home Health, the continued rate improvements in our Private Duty Services and a very disciplined approach to labor and other expense controls. As we continue to navigate the near-term late choppy labor markets, we will strategically make decisions on how and when to reinvest some of these dollars back into caregiver wages and benefits to accelerate our nurse availability, which will fuel growth. On the other SG&A expenses, including corporate being in line with expectations. Our EBIDTA for the quarter was $45.8 million or 11.1% of revenues. Before I turn the call over to Jeff for a deeper dive into our segment results, I’d also like to highlight our strong cash position that Dave mentioned earlier. The biggest driver of cash is the ability to monetize our revenue. Our revenue cycle team has done an outstanding job in converting AR to cash. This quarter they collected $425 million exceeding their goals. Great job by James Elkington and the entire revenue cycle team. Congrats, guys, keep it coming. With that, Jeff, why don’t you walk us through a more detailed segment result?
Jeff Shaner: Thank you, Tony. I am pleased to share our Q3 2021 operating indicators and key metrics with you this morning. Before I get into the operating segments, I’d like to spend a few minutes on our COVID-19 efforts and recent caregiver employment activities and trends. Throughout the COVID-19 pandemic, our Aveanna teammates have consistently risen to the challenge of providing safe and efficient healthcare in our patients’ homes. Innovation and creativity have been instrumental and our ability to adapt and overcome the daily challenges posed by COVID. We have re-engineered virtually every aspect of our recruiting, onboarding, clinical training, engagement and retention efforts with our employees. All of our efforts have been focused on streamlining the process to hire and onboard caregivers in the most efficient manner. As local and state governments have introduced vaccine mandates, we have doubled our efforts to get each and every caregiver to comply. To-date, we have 11 states that have mandated COVID vaccinations for healthcare workers. I am proud to say that we are in full compliance with these mandates and thankfully most caregivers have chosen to ultimately receive their vaccination and continue to care for our patients and families. We expect this trend to continue as we move forward with additional vaccination mandates, including the most recently announced CMS and OSHA mandates requiring a first dose by December 5th and all employees to be fully vaccinated by January 4th. These federal mandates create major challenges for the home care industry, as well as Aveanna. However, one of our However, one of our Aveanna mottos is we can and we will and this is another opportunity for our Aveanna teammates to come together and continue to serve our mission. I am proud to report that our reported COVID cases among employees has continued a downward trend for 12 consecutive weeks. COVID has taught us to expect the unexpected and be prepared to adapt and overcome at all times. Now on to caregiver employment trends. At the end of Q2 we expected hiring trends to improve with the return to schools and the phasing out of enhanced state and federal unemployment benefits. Our current employment trends point to early September as the low point for caregiver hires, caregivers on payroll and hours or visits worked per caregiver. The last eight weeks have yielded steady improvement in our caregiver employment metrics, caregiver hires, caregivers completing orientation and caregivers on payroll are moving in a positive direction and we believe these trends will continue throughout Q4. I’d like to talk through some of the key efforts that have provided us this lift in our recent employment trends. They include 24 hours a day recruiting engagement for all applicants, virtual orientation offered seven days a week in all time zones, virtual clinical training offered seven days a week with over 1,500 clinicians completed to-date, a daily pay option for caregivers who need to be paid faster and more flexible, and a Vaccination Bonus Program offering cash rewards for fully vaccinated caregivers. We have also introduced a caregiver COVID Bonus Program. This 12-week program is designed to reach four distinct caregiver groups and is aligned with our efforts to provide more care. This program targets four caregiver groups by reengaging inactive nurses to bring back former employees, recruiting new nurses who have never worked for Aveanna, boosting shifts and hours with of part-time nurses to encourage more work per week and rewarding our full-time nurses to strengthen our retention. It will take all of these efforts and then some to continue the positive momentum and get back to pre-COVID labor trends. As Tony mentioned, the demand for our services continues to far exceed our labor supply. We believe this dynamic will continue well into 2022 for our PDS and Home Health & Hospice segments. Lastly, we are reminded through this environment that are most precious commodity is our caregiver. Now onto the Private Duty Services segment. During Q3 we produced $327.1 million of revenue or approximately a 1% year-over-year decline. Revenue was driven by approximately 9 million hours of care provided during the quarter or a 4.4% decline in volume over Q3 of 2020. Patient demand in our PDS segment is at an all-time high, as we continue to partner with children’s hospitals and payers to find new solutions to get our pediatric patients home. The primary driver of the decline in volume was the lack of caregiver availability. As mentioned, Labor Day week was our low point and caregivers paid and new caregivers hired. With the return to schools enhanced unemployment benefits phasing out and improvements and hiring efficiencies -- efficiency we had eight weeks of improved caregiver employment metrics in PDS. I am proud of the innovation and creativity of our PDS leadership teams as they fight through a difficult environment and continue to focus on our patients and families. Our revenue per hour of $36.36 was up $1.40 from Q3 of 2020 or 3.8%. This was primarily driven by reimbursement rate improvements and a stabilization of our business mix between skilled and unskilled services. With 24-year-to-date Private Duty Services rate increases we are actively passing through wage rate improvements to our caregivers. We expect this trend to continue well into 2022 and this will be the primary driver of improved employment trends in our PDS segment. Turning to our cost of labor and gross margin metrics, we continue to experience improvement in gross margin with $100.6 million in Q3 or 30.7%. This equates to a growth of 3.1% year-over-year in gross margin dollars. PDS cost per hour of $25.18 was up $0.58 per hour from Q3 of 2020. Lastly, our spread per hour improved to $11.18. We expect spread per hour to normalize as we balance the rate increases against the strategic investment in caregiver wages. Long-term, I still believe $10 to $10.50 range is our ideal spread per our target balanced against a 3% -- a positive 3% to 4% year-over-year volume growth for our PDS segment. We are committed to being the employer of choice in the PDS industry and we are working harder than ever to attract and retain qualified caregivers. As mentioned, our referral sources and payers urgently need our help transitioning families home, many wanting to go home for the first time ever. We have found our PDS customers, both payers and referral sources to be receptive to our value proposition and the need to attract and retain our caregivers. I would like to add my excitement about the Accredited Home Care acquisition. Over the last few months I have gotten to know the Accredited team and have a deep respect for the reputation and quality care provided to the families in Southern California. Our IMO team is already preparing for closing and welcoming the Accredited employees to the Aveanna family. California continues to be a very important state into our Aveanna story and Accredited only furthers that strategy. Now moving on to our Home Health & Hospice segment for Q3 where we continue to expand our national presence. As previously mentioned we have fully integrated 5 points and recover health into the Aveanna family. I am pleased to share that we are in the final stages of the integration of Doctor’s Choice and it continues to progress ahead of our expectations. Our dedicated IMO team has led the way as we methodically integrate our new acquisitions into our Home Health & Hospice business model. With the recent announcement of Comfort Care our IMO team has already set their sights on another successful integration in Alabama and Tennessee. Comfort Care brings great density of services, caregivers and locations, which continues to enhance the Home Health & Hospice network in Aveanna. Comfort Care also leverages our presence in Hospice in a more meaningful way and we are excited to talk more about Hospice as we move into 2022. Now on to Home Health & Hospice segment indicators for Q3. During the quarter we produced $47 million in revenue, a 902% increase over Q3 of 2020. This growth was driven by 11,600 total admissions, approximately 61% being episodic admissions and 10,500 total episodes of care. Revenue per episode for Q3 was $2,894 and in line with our expectations. I am pleased with the organic growth rate of our Home Health & Hospice businesses and believe this business will remain a double-digit emission growth segment for the remainder of 2021. From a cost and margin perspective, gross margins were 48.7% for the quarter. The primary driver of gross margin improvement was the Doctor’s Choice business, along with a continued focus on episodic payer mix. On a caregiver employment update, we have felt pressure on nurse recruitment and retention efforts. We have invested in additional recruiters and increased recruitment activity to keep up with our newly acquired businesses. We are leveraging our vast recruitment network on our PDS segment and that has helped to offset some market pressures. Our use of contract staff is within our budget expectations and we have stepped up our wages and retention bonuses to focus on retaining our tenured staff. We believe this still allows us to maintain a 48% to 50% gross margin range and organically grow our Home Health & Hospice business in the 7% to 10% range. Lastly, we are pleased with the final Home Health & Hospice rules for 2022 and believe CMS has recognized the current labor pressures and incorporated this into their rate updates. We also support the expansion of value-based purchasing from the pilot program to all 50 states effective 2023. We are well-positioned for value-based purchasing and look to further expand these conversations with our Medicare Advantage payers. Now to our Aveanna Medical Solutions segment results for Q3. During Q3, we produced $37.1 million of revenue or 14.9% year-over-year growth. Revenue was driven by 78,000 unique patients serve during the quarter or 11.4% in year-over-year volume growth. This growth profile is consistent with our strategy to grow Medical Solutions with both strong organic and de novo activities. Our revenue per UPS of $476.19 was up 3.5% from Q3 of 2020, primarily driven by product mix shift. I expect both volume growth and revenue to continue to benefit from the growth of our PDS and Home Health & Hospice segments. Turning to our cost of goods and gross margin metrics, we continue to experience stability in gross margin with $16.3 million in Q3 or 43.8%. This equates to a year-over-year growth of 10.9% in gross margin dollars. I expect gross margins to remain in the 43% to 45% range moving forward. Our dedicated focus on enteral nutrition and a proprietary distribution model allows for continued expansion of this service to pediatric, adult and geriatric patients. In summary, all three of our business segments continue to fight through a very difficult environment. I am proud of our Aveanna team and their dedication to providing high quality, cost effective and safe healthcare in our patient’s homes. Regardless of the current short-term market conditions home care is still the number one choice of our patients, families, referral source -- referral sources and payers. Thank you and I look forward to updating you on our Q4 and year end operating results. With that, I’d like to turn the call back over to Dave.
David Afshar: Thanks, Jeff. I will go ahead and provide some details on results of operations, liquidity and credit facilities. Revenue is $411.3 million for Q3 of 2021, as compared to $366 million for Q3 of 2020, an increase of $45.3 million or 4.4%. The increase was primarily driven by significant growth in our Home Health & Hospice segment, a $42.3 million increase in Home Health & Hospice revenue from the year ago quarter as a result of our Home Health & Hospice acquisitions that we have discussed over this call. As Tony mentioned, we also continue to see reimbursement rate wins particularly in the PDS segment. Our PDS revenue rate increased 3.8% on balance due to those rate increases. The PDS reimbursement rate environment is supportive of our mission to bring more caregivers back into the workforce and reduce the unmet demand for our services one patient and one hour at a time. Now turning to gross margin, our gross margin was $139.7 million or 34% of revenue for Q3 of 2021, as compared to $114.1 million or 31.2% of revenue for Q3 of 2020, a 22.4% growth in our Q3 gross margin compares favorably to our revenue growth of 12.4% from the year ago quarter. Operating income was $18.3 million for the third quarter of 2021, as compared to $12.9 million for the third quarter of 2020, a $5.5 million increase. We are pleased to see operating income increase as percentage of revenue to 4.5% in Q3 2021 from 3.5% of revenue in the year ago quarter. Our Q3 operating income was positively impacted by an increase of $8.9 million or 16.3% as field contribution as compared to Q3 of 2020. The $8.9 million increase in field contribution was delivered by our $45.3 million increase in consolidated revenue, combined with a 50-basis-point improvement in our field contribution margin to 15.4% for Q3 of 2021 from 14.9% in the year ago quarter. Offsetting some of the Q3 improvement, our field contribution margins over the prior year quarter was an increase in our corporate expenses as a percentage of revenue growing to 9.2% of revenue from 8.9% of revenue in Q3 of 2020. Primary reason for this 30-basis-point increase was $2.7 million of incremental debt modification costs included in our corporate expenses and $2.6 million in incremental share-based comp charges that we recorded in Q3 related to performance vesting options. Both of these items are further discussed in the footnotes to our financial statements and our MD&A. Note, however, that adjusted corporate expenses as a percentage of revenue decreased to 5.3% in Q3 of 2020, compared to 5.8% in Q3 of 2020. Moving on to net income. Net income was $2.1 million for Q3 of 2021, an increase of $9.5 million from Q3 of 2020. Primary driver the increase being the $5.5 million increase in operating income, the $7 million decrease in interest expense, offset by a $4.8 million loss on extinguishment of debt related to our Q3 term loan refinancing and certain other items. Adjusted EBITDA was $45.8 million for Q3 of 2021, which represents a $5.8 million increase from Q3 of 2020. On a year-to-date basis, adjusted EBITDA increased to $138.4 million for the nine months ended Q3 of 2021, which represents a 10.9% margin from $107.2 million in the first nine months of 2020 or 10.0% margin. On the liquidity front, we had strong liquidity as of October 2, 2021, our Q3 end, with cash on the balance sheet of $121.7 million and available borrowing capacity under a revolving credit facility of $180.2 million, resulting in total liquidity of $301.9 million at the end of the quarter. With respect to cash flow, Q3 2021 cash flow from operations was $36 million and cash flow from operations for the year-to-date period positive at $22 million. And one thing I’d mentioned is that our year-to-date cash provided by operations included an approximate $9 million usage of cash to repay advances for Medicare to some of our Home Health & Hospice companies received in 2020 pursuant to the CARES Act. While our assumption of these liabilities reduce the purchase price for these transactions repayment of these items comes out of operating cash flows and this will continue through the end of the year potentially into Q1 until we have fully repaid the advances, which are about $12 million in total. These payments should be considered non-recurring. In addition we paid about $18 million to restructure our First Lien Credit Facility back in July, $7 million of that amount was required to be treated as a debt modification cost and recorded in our corporate expenses. So this also served as a call on our operating cash flow in Q3. Looking forward to Q4, our operating cash flow will be constrained by an approximate $26 million payment for social security taxes  in December, continued repayments of the Medicare advances, I just mentioned, and increasing interest costs. On the cash collections front, we collected approximately $425 million of cash during the quarter in excess of our revenue of $411 million. I can’t give enough credit to our revenue cycle and operations teams for all they do to drive our collections performance. Transitioning and integrating acquired revenue cycle systems onto the Aveanna framework is really hard work. Combined with maintaining current operations and responding to the never ending challenges that come with healthcare, billing and collection operations, our teams have done excellent work this year and we continue to see improvements in revenue realization and yield. In addition to our cash flow, we have improved our capital structure via the repayment of debt with IPO proceeds and the subsequent refinancing of our First Lien Term Loans with lower interest rates. These actions have collectively resulted in sequential decreases in cash interest paid from $20.2 million in Q1 of 2021 to $16.7 million in Q2 of 2021, $10.3 million in Q3. Before considering any incremental debt incurred for Q4 M&A, we will see our interest costs begin to tick up a bit from Q3 and that’s related to the commitment fees on our delayed draw term loan. In connection with our First Lien refinancing on July 15th, we added a $200 million delayed draw term loan to provide for future acquisition financing on October 15th, we began incurring full LIBOR margin of 3.75% on the $200 million delayed draw term loan as development of interest expense comparatively. To summarize and wrap up here we are pleased with our improved field contribution and operating income margins in the third quarter, as well as our improvement in cash flow from operations. Together with the capital structure improvements we have continued to make we are well-positioned from a liquidity and credit perspective to execute and deliver on our M&A strategy. And with that, I will turn things back over to Tony.
Tony Strange: Thanks, Dave and before we open up the line for Q&A, we would like to give you our thoughts around our full year 2021 guidance and how we are thinking about 2022. We believe that our current trends will continue for the near-term future, volumes will continue to be solid, partially offset by continued improvement in rate. As a result we expect our full year 2021 revenues to be in the range of $1.65 billion to $1.60 billion, which is lower than our previous estimate. However, given the rate improvements and the disciplined approach to expense management, we believe that we will deliver our original EBIDTA estimate of $185 million for the full year 2021. This outlook does not include the impact of Comfort Care and Accredited acquisitions that we spoke of earlier. We are currently engaged with both acquisitions in the bottoms up budget process that we use for our base business and we expect to issue a full year 2022 guidance sometime during the first quarter. We are optimistic about maintaining our mid-teen and year-over-year growth and look forward to sharing our success as we go. Operator because we have covered so much material in our call, we are going to stay on the line longer than usual to accommodate as many people as we can. With that, why don’t we open it up for questions?
Operator: Thank you.  Our first question is from Joanna Gajuk with Bank of America. Please proceed.
Tony Strange: Hi, Joanna.
Joanna Gajuk: Hi. Good morning. Hi. Good morning. Thank you for taking my questions. So, I guess, the thing, I guess, just on the very last comment here might be, so I appreciated that the details about the synergies deal contribution for the pending acquisition. So it sounds they could add, call it, $50 million so to EBITDA next year and that’s before in your organic growth, I presume, so I want to clarify that? And then also any other tailwinds and headwinds when we think about 2022 EBITDA higher level commentary? Thank you.
Tony Strange: So, Joanna, I think, you summarized it fairly well. I think when we think about the first half of 2022, we don’t think there’s going to be any miraculous recovery in the labor markets. By the time we get to Q1, I think, we will still be dealing with some of the COVID hangover that we talked about and I don’t see any immediate change in the labor markets. However, our opinion is, by the time we get to midyear next year, we are hoping to see some type of stability and normalization of the labor markets, and we are going to continue to be nimble. I think, Jeff, laid out some really innovative ideas that the company is executing on right now that allows us to be reactive to the ever changing labor markets. But I want to bring us back, when we think about the long-term aspect of the business, one of the things that you heard several times today is the demand continues to be higher than ever. And in that, we are finding policymakers and legislators and payers alike all coming to the table saying what can we do to help you increase capacity, we need to get patients into more cost effective settings sooner rather than later. And whether it’s the first half of 2022 or the last half of 2022, I can’t answer that. What I can tell you is that the demand for our services is going to continue to go up and I think the home care industry is going to continue to be a driver in the healthcare space that we know today.
Joanna Gajuk: Thank you. I will go back to the queue.
Tony Strange: Thanks, Joanna.
Operator: Our next question is from A.J. Rice with Credit Suisse. Please proceed.
A.J. Rice: Hi, everybody. Thanks for the comment. Maybe just first, obviously, on the labor question, it’s really hard to know, because there’s so many different dynamics going on retention bonuses, sign on bonuses, neuro pay, overtime pay. If you were looking at it sort of an apples-to-apples, your SWB this year versus last year in the third quarter, what kind of rate -- the SWB ratio or rate of increase are you seeing? And do you have a sense of looking into 2022 the parameters around what kind of an increase all-in the various things might result in?
Tony Strange: I think the first half of your question A.J. is looking at what we are experiencing today, and Jeff talked about it. As we are getting these rate increases, we are actively -- the team, Jeff, and operating team are actively looking at how do we reinvest some of these dollars? And you pointed out all the different ways that we are reinvesting back into our clinicians. However, our margins have continued to expand. When we think about moving forward, the second half of your question is then going forward, we expect margins to kind of stabilize. And I think, Jeff, indicated that in Private Duty today our margins are probably a little bit hot and that’s just a timing issue as to when we get the rate increase versus when we put those increased dollars back into wages. But those rate increases are also continuing to come. My guess is, if we look into Q4, Jeff, I don’t want to put you on the spot here…
Jeff Shaner: Yeah.
Tony Strange: …and feel free to jump in. If I -- if we look into Q4, we will probably see that spread rate pull back a little bit. I don’t know if you want to try to quantify that, but I think $11.18 probably a little bit hot for that business as we see it today.
Jeff Shaner: Agreed Tony. And A.J., I think, spot on Q4, I think, we will see that start to get back under $11, back in the high $10, probably, still above our ideal range as we continue to push the incremental rate increases out. It’s not that our all nurses get $1, it’s really one nurse by one nurse and there are conversations over the phone and so it takes time to get those rate increases. The rate increases they hit us on a specific date and we get the rate increase on that date. And that takes us weeks and ultimately months to get those handed out to each nurse appropriately and it’s a one-by-one conversation. So to, Tony’s point, it takes just kind of three months to six months to get that fully flushed through the market. And I think, Tony said, well, we have more rate increases already in the books for Q4. We have a pretty large rate increase on the books for January 1st and one of our largest states. So our PDS segment rate increases are going to continue to come through into 2022. And so I think it’s a good thing, as we talked about. It will take us time to kind of push those through. But as Tony said, our gross margins are going to stay in that, on the HHH side we think 48% to 50% is that ideal range and we think on the PDS segment probably right at 30%. We have been at 30% for four years or five years and we think that number is probably going to stay pretty close to that forward looking.
Tony Strange: Yeah. And A.J. one of the things we don’t want to leave the listeners here with is that, that somehow these rate increases in wage adjustments are event driven. If you can imagine, keeping your hands on the levers of wage and rate is something that our operators do every single day. And we are not going to reach a point where on March the 22nd, people say, okay, now we are done with that. This is an ongoing exercise. We look at this, and Jeff talked about the spread, these guys look at this spread rates every week, every day and they are constantly making slight adjustments as we go and I think that doesn’t change.
A.J. Rice: Okay. Maybe just a quick follow-up and you mentioned 11 state that you are in have mandated the vaccine. I wonder if you could just tell us, because obviously if we get the national rollout of the OSHA provisions. What -- how disruptive was that leading up to the day? Do you see the impact was of quite a bit of lead time or does it happen pretty much right at the end there? What was your experience in those 11 states?
Tony Strange: Yeah. That’s a great question A.J. And those 11 were everything from counties, cities, states, obviously, no federal yet until the CMS and our OSHA mandates. But I will tell you, A.J., at the end the definitive date helped push people to an outcome in the end. The primary outcome was people getting vaccinated. But also most of the states had a exemption outcome as well, whether it was religious and or medical exemptions. So it did force people to kind of make a decision. Obviously, our compliance rate is 100% in all 11 government municipalities. But ultimately, I would tell you most caregivers, most employees got the vaccination and continued care and there was a lot of noise leading up to it. There’s already been a lot of noise about the CMS mandate and OSHA mandate. I wish every employee love that they don’t. But, I will tell you, since last Monday, our vaccination, whether it’s new vaccinations or people turning their cards in and just proving it to us they have tripled in the last 8 days to 10 days. So, I think, it’s just -- it’s forcing people to make that decision. In the end, most people are making the decision to stay, to continue to work, to either be fully vaccinated or to have an appropriate exemption on file. So the 11 specific states and question or counties, I think, to us has not been a material negative impact to our business. It was less than one-half of 1% of our volume changed and they were different dates. They were staggered dates between September and in early November.
A.J. Rice: Okay. Thanks a lot.
Tony Strange: Thank you.
Operator: Our next question is from Sarah James with Barclays. Please proceed.
Sarah James: Thank you. I just try to better understand about the seasonality of 2022 might look like versus 2021 or a normal year. You have got a couple of different moving pieces with great changes, and probably, a different timing, and then also the synergy related to the deals? But can you give us an idea of what was the seasonality…
Tony Strange: Sure, Sarah. So you asked specifically about 2022, we are not really ready to provide any type of guidance, specific guidance on 2022. However, what I can tell you is that, a typical seasonality year for us looks like volumes are up in Q1, volumes are even better in Q2 then volumes tend to tail off during Q3 related to summer vacations both of caregivers and nurse -- caregivers, as well as families and also schools being out. And then in Q4, we kind of see volumes come back to a more normalized level and start building again for Q1 the following year. If you think about kind of the two ends of the seasonality book-ins, Q2 tends to be our best quarter and Q3 tends to be our lowest quarter in any given year and so it just kind of follows that cycle. I don’t think this year 2021 I don’t think is any different than that. I think that seasonality we experienced in Q3 was exacerbated by what’s going on in the labor markets. However, I think our business still had seasonality in it. And I guess from, Jeff you can pile in here, but there’s nothing that we know of today that would cause 2022 to look any different than that.
Jeff Shaner: I agree, Tony. And I think, Sarah, Tony said in his remarks few minutes ago, the one thing will be as we are fighting through this continued labor environment in Q1 and Q2. And I think you said it, we have additional rate increases coming on the books effective January 1, so that will help us continue to pass wages through to caregivers. So I think we are expecting to continue to fight through Q1 and Q2, but I agree with Tony schools, schools are in session, so we will have our normal summer seasonality as schools come back out for the summer months and I don’t think 2022 will be that different from a normal seasonality or just be the fighting through the labor environment really the first six months of the year.
Sarah James: That’s really helpful, Jeff. And then just trying to unpack the insights a little bit for these deals you are looking at the pre- and post-evaluation, it looks like there is about $3 million to $5 million synergies implied for each deal. So can you give us an idea of what factors discussed in or if there is any revenue synergies I think?
Jeff Shaner: So, Sarah, I think, the way you are -- I think the way you are tugging at it is the right way to think about it. You can come back between those implied multiples that Rod talked about. However, we haven’t disclosed any exact EBITDA, post-synergized EBITDA number. And the reason being is that we are just beginning the integration process, and as you know, things move around as you develop those integration plans, people that are going to be synergy versus those that are not going to be synergies and all of that is yet to be determined. With that said, in terms of the major buckets, it’s the typical buckets you would think about in a synergized deal for us, it’s primarily in corporate expenses, duplicate overhead related to finance and accounting and payroll and human resources and those types of services more so than any synergies out in the field. And specifically you ask about revenue synergies, we are not counting any revenue synergies from either of these deals. These are just additive to our current revenue stream. And as Rod talked about creating density in markets and we believe that creating density provides value for our shareholders. So they are both -- we are excited about both transactions.
Tony Strange: Thank you, Sarah.
Operator: Thank you. Our next question is from Brian Tanquilut with Jefferies. Please proceed.
Tony Strange: Good morning, Brian.
Brian Tanquilut: Hey. Good morning. Yeah. So just to think about 2022 again, sorry, if we have already touched on this, Jeff, but so we are starting off a base of $185 million for this year, we are adding about what $40 million to $45 million maybe up to $50 million from the acquisitions. So if you can help us think through the puts and takes as we think about 2022. I know you are not giving guidance. But just the level set the starting point and now like the moving part?
Tony Strange: So, Brian, I think, you are right we are not we are not providing guidance for 2022 yet, so but we appreciate your tenacity. I think you have the pieces and we won’t comment on the exact numbers, but I think you have the right pieces. The only other piece that you have got to think about in there is, what are the growth rates going to look like in. And again, I think Jeff has talked about, our growth rates in our businesses and what would -- what we would think is being normal, your real underlying question is, is the first half of 2022 going to be normal and I don’t think we are ready to predict that yet. So, right, but you have got all the pieces. Jeff, anything you would add?
Jeff Shaner: And Brian, I think, as Tony mentioned, we are in the middle of that the back half of our budget process at Aveanna. We are bringing in both the Accredited and the Comfort Care teams and that bottom -- and bottoms up. We do have a budget from every single location up through our corporate infrastructure. And so you know what we are bringing Accredited and Comfort Care into that process and we normally land that about the second week of December. And I think -- we will be right after the first of the year or two year we talk about 2022. But we are excited, there’s nothing that we have seen in our diligence in the two deals that would say that that they think of the budgeting process any differently than we do and that their growth rates have been impressive and hence why we engage them. But we are excited to finish that process to have a really solid outlook on 2022.
Brian Tanquilut: Yeah. Appreciate that. And then my follow-up really quickly, Tony, it sounds like you still feel pretty good about the demand side of the equation, right? So it sounds like this is more really labor driven. So how are you balancing that, right? I mean that the idea that you could chase volume or you could bring in temp staff and all these things to fill the demand, right? So, and gross margins were obviously pretty good during the quarter? So how are you just thinking through that philosophically?
Tony Strange: Well, I will correct you. You said, I felt pretty good about demand. I feel great about demand. There’s not a day goes by that this group of people don’t get phone calls from families or hospitals saying, what can you do or how can we get this particular patient home? Is there anything that you can do? We get -- Jeff and the managed care team are getting calls from payers, where these payers are bringing us to the table, and saying, we have got to find ways to get this patient out of the hospital. We are willing to think out of the box. What can you guys do outside of the box? So the demand for our business is at an all-time high. The second part of your question about balancing margin with growth is, I think, that’s the art in this business. And I can tell you that we are not going to give away our margins for the sake of growth. However, we are going to be thoughtful and disciplined about how we put those dollars and resources back to work and protect the value for our shareholders. And it doesn’t -- it’s not a one and done exercise and this takes a light touch on the controls every single day. And Jeff and Jason the other operators out in the field, these guys deal, not just not just state-by-state but market-by-market and sometimes patient-by-patient where we are looking at every patient and their particular economic situation and how do we balance the ability to service this patient against our margin and our ability to pay our caregivers? So it’s a -- it is an ongoing exercise that won’t end.
Jeff Shaner: And Brian, I think, Tony had said it incredibly well, in the old days we would literally really be calling the payers rep begging for another $2 an hour to get a family home and today that has flipped to where the head of managed Medicaid for large payers are now calling our operators or our managed care payer team saying, what will it take? What’s the number per hour? And it’s in some cases it’s obscene, it’s -- well, if we double the hourly rate for the first 90 days could you get two nurses to take this family home? And Tony said right, it’s not state-wide, it’s a family, it is a specific family who’s in a hospital and that payer is trying to get them home. So the market has shifted in a way that I think in our 30 years we have never seen and we don’t believe that market goes back from the payer side. And we love the -- we hate why we are here from a labor standpoint, but we love the creativity that it’s cause to kind of solve problems and get families home.
Brian Tanquilut: Thank you.
Tony Strange: Thanks, Brian.
Operator: Thanks. Our next question is from Justin Bowers with Deutsche Bank. Please proceed.
Justin Bowers: Hi. Good morning, guys.
Tony Strange: Hi, Justin.
Jeff Shaner: Hi, Justin.
Justin Bowers: Can you help us understand what the revenue mix is of Accredited like skilled versus unskilled and then just maybe elaborate a little bit on how there’s less lower labor risk with that model? It’s asset that is probably not well understood by investors, it would be helpful to elaborate on that a little bit?
Tony Strange: Well, let’s -- Justin let’s start with our base business in California already. So we have a base business in California related to Private Duty. That is an unskilled business. Now we have in California, we also have a significant presence in skilled business as well. But separately and apart from that, we do have a very strong base of unskilled business in California. The Accredited business mirrors our unskilled business. It is predominantly all unskilled, there’s a small part of skilled business that will fold into our skilled business, but it’s through several different Medicaid programs in the State of California. And to your labor question in these particular programs, the families of the patient are responsible for identifying and even hiring the attendant or the caregiver. And so because of that, and I think, Rod said it really well in his prepared remarks, the -- it really takes the burden of recruitment off of Aveanna and places it back with the family and which is no different than the unskilled businesses that we are in, in California and we like that business a lot. It’s -- that the gross margin in terms of percentages is not as high. However, it doesn’t take as much overhead to run that business, because you are not doing the recruiting and retaining and the onboarding and all of those types of things. So to answer your question broadly, it’s identical to the unskilled business that we are in, in California and it is predominantly unskilled.
Justin Bowers: Understand. Appreciate it.
Tony Strange: Thanks, Justin.
Operator: Ladies and gentlemen, we have reached the end of our allocated time and I would like to turn the call back to Tony Strange for any closing remarks.
Tony Strange: Hold on, Operator. Operator, we are going to stay on the line for a little bit longer. We will continue to take questions, because we -- our prepared remarks ran over and we knew that. But we will stay with this group as long as we need to help them understand our business.
Operator: Okay.  And our next question is from Matt Borsch with BMO Capital Markets. Please proceed.
Matt Borsch: Hey. I just thought I would ask one about the reimbursement situation and I gather your sort of -- you seem to be shifting to the idea that may be the current constraint are going to resolve or hopefully resolve the issue around the Medicare Advantage reimbursement in the adult home care market. Are you seeing optimism around that?
Tony Strange: Yeah. I think most of our comments were really around the Medicaid environment and the Medicaid Advantage payers. So I think most of our optimism, and certainly, how we were answering Brian’s question was that, was more of a Medicaid answer for our PDS segment. Certainly, the rate increase -- that the Home Health & Hospice update, the rate increase of I think net 2.6% will be shared by those Medicare Advantage payers who pay at an episode of basis. I think as we continue to grow and scale in this business we -- as Tony talked, we have a very disciplined approach to the patients that we take on the geriatric side. And I think we will continue to push our Medicare Advantage payers like the rest of the industry is to pay at a more meaningful level. But I think our comments really were focused more around the Medicaid and Medicaid payers, and again, like payers.
Matt Borsch: All right. Great. We will wait and see. Thank you.
Tony Strange: Thanks, Matt. Operator, do we have other questions?
Operator: No. There are no further questions.
Tony Strange: Okay. Well, we have covered a lot of ground on today’s call. But I want to thank each and every one of you for your time and your patience this morning. I know we have a lot of information to cover and always we continue -- we appreciate your continued support of Aveanna. Good luck to all of us and have a great day.
Operator: This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.